Operator: Good day, and thank you for standing by. Welcome to the Integer Holdings Corporation First Quarter 2021 Earnings Call.  Please be advised that today’s conference is being recorded.  I would now like to hand the conference over to your speaker today, Anthony Borowicz, Senior Vice President of Investor Relations. Thank you. Please go ahead.
Anthony Borowicz: Good morning, everyone. Thank you for joining us, and welcome to Integer’s First Quarter 2021 Earnings Conference Call. With me today are Joe Dziedzic, President and Chief Executive Officer; and Jason Garland, Executive Vice President and Chief Financial Officer. As a reminder, the results and data we discuss today reflect the consolidated results of Integer for the periods indicated. During our call, we will discuss some non-GAAP measures. For a reconciliation of these non-GAAP measures, please see the appendix of today’s presentation and the notes to the financial statements in today’s earnings release, which are available on our website at integer.net.
Joe Dziedzic: Thank you, Tony, and thanks to everyone for joining the call today. We are off to a strong start in 2021 because of our dedicated associates who have continued to deliver for our customers throughout the pandemic. During our last earnings call, I shared with you how Integer has managed through the pandemic by taking care of our associates while remaining focused on executing our strategy. We have continued to invest in our strategy by adding capabilities, capacity and talented associates to lead our product line and operational strategies. We have continued to strengthen our high-performance culture, and it is because of the strength of our associates that I have confidence in our ability to deliver for all Integer stakeholders. We delivered strong sequential improvement in our first quarter sales and profit and at the high end of our guidance. As expected, our reported sales and profit were down from the first quarter of 2020 because COVID did not impact us until the second quarter of 2020. We continued to generate strong cash flow and reduced net debt by another $25 million. The strength of our first quarter supports the increase in our full year guidance. We are often asked by investors, when will you get back to pre COVID levels. We developed this chart in an attempt to quantifiably answer that question with the acknowledgment that this is not a perfect metric, but we believe it is a representative and useful analytic. We selected Boston Scientific and Abbott as the most representative proxy for the total industry to compare to Integer. Integer serves very similar end markets as both OEMS, with the exception of Abbott, where we removed their publicly reported diabetes care sales from their reported Medical Devices segment sales. We believe the best comparison for pre COVID is the fourth quarter of 2019 because we believe there was very little or no COVID impact in that quarter. Just to be clear, we are using sales that were publicly reported to investors and the SEC. We graphed the reported sales from the first quarter of 2020 to the first quarter of 2021 as a percentage of the fourth quarter 2019 to see how the sales in each quarter compared to the pre COVID quarter. We believe this is a representative measure of the decline and recovery from the impact of COVID on medical device sales in the industry.
Jason Garland: Thank you, Joe. Good morning, everyone, and thank you again for joining our call. I’ll provide more details on our first quarter 2021 adjusted financial results, including cash flow, summarize our product line sales trends and conclude with our increased expectations for 2021. I’ll start with our first quarter results, which continued to be impacted by the COVID pandemic. First quarter sales were at the high end of our guidance and up $22 million sequentially over the fourth quarter of 2020. At $290 million, this was down 12% versus the prior year, with our first quarter 2020 results not being impacted by COVID. At $46 million, our adjusted operating income was also at the high end of our guidance and was up $8 million sequentially over the fourth quarter. This was 21% lower than prior year, with adjusted net income at $32 million, we delivered $0.97 of adjusted diluted earnings per share. As projected, the trend in sequential profitability improvement continues as our first quarter’s adjusted operating income as a percent of sales improved more than 180 basis points over the fourth quarter of 2020 on the increased sales, combined with the continued focus on manufacturing excellence and cost management. As we mentioned previously, we have maintained strategic investments throughout the pandemic and are confident that Integer, our customers and the patients we ultimately serve will benefit. Our adjusted net income declined $9 million in the first quarter of 2021 as compared to the prior year, primarily due to the impact COVID had on our volume and deleveraging. We saw some offset through the reduction of interest expense by $2 million year-over-year, benefited by our cash flow strength, our continued focus on debt reduction and lower LIBOR. The impact from foreign exchange and our effective tax rate were both limited. In the first quarter, we continued a strong conversion of income to cash, generating $36 million in cash flow from operating activity, up 12% over the first quarter of 2020. This improvement was driven by continued working capital management and decreased year-over-year incentive compensation payments as the pandemic driven decline lowered our 2020 incentive compensation. We generated $29 million in free cash flow, inclusive of $8 million of capital expenditures. We still expect the full year capital expenditures to be in the $50 million to $60 million range. Consistent with our strategy, we continue to steadily reduce our net total debt and in the first quarter, reduced it by $25 million.
Joe Dziedzic: Thanks, Jason. To summarize our first quarter, we delivered sales and profit at the high end of our guidance and delivered strong sequential improvement compared to the fourth quarter of 2020. We continued to generate strong cash flow and reduced net debt. The strength in the first quarter enables us to increase our sales and profit outlook for the year and positions us well to continue investing and executing our strategy. I’ll conclude our remarks today with the same message as last quarter, which is by offering our view on why now is a good time to be an Integer shareholder. We believe we have a clear vision, a compelling strategy and strong values, combined with the most talented associates amongst all medical device outsourcers. The industry dynamics of mid- single-digit growth and high barriers to entry, combined with Integer’s breadth of product portfolio creates a very resilient business model. Integer’s world-class research and development capabilities, our global manufacturing footprint, combined with our deep customer relationships, creates a compelling growth strategy. Our commitment to our associates and investment in their growth, coupled with our focus on building leadership capability to deliver performance excellence, creates a performance culture that is creating a competitive advantage. Finally, our track record of delivering on our financial commitments and generating strong cash flow, reinforces our financial strength. I am confident in our strategy, in associates and our ability to execute our strategy to earn a valuation premium for our shareholders. Thank you for joining our call this morning. I’ll now turn the call back to our moderator for the Q&A portion of our call.
Operator:  Your first question comes from Matthew Mishan from KeyBanc.
Matthew Mishan: It’s good to see everything moving in the right direction, here. Joe, I really appreciate the analysis you’re doing versus your customers. But one of the things it does is it assumes that you’re static with the industry. So when do you think you can start showing a level of outperformance versus what the industry is doing. And it goes also back to the question in the first quarter, numbers came in at the higher end of what you were thinking. Is the outperformance in the first quarter attributable to Integer, the market or an inventory build?
Joe Dziedzic: Well, Matt, thank you for the question. And I love your focus on us accelerating our growth to outperform the industry and outperform the markets we’re serving because that is absolutely our strategy. We remain focused on that. We’re making a lot of investments in taking, all, what we believe are the necessary steps to deliver on that. We’ve talked a lot about our growth team structure, and we talked about the sales team and how we’ve reorganized and brought in different leaders. We’ve talked about the robustness of our pipeline of opportunities. And the increase in the number of engineers we have that are -- that were winning more and more development programs, and we continue to add more engineers this year as those development programs are the precursor to what’s going to deliver that accelerated growth. So we’re as focused on that as you are. We don’t have the time frame, but we’re confident we can get there. And once we see enough of those development programs converting to sales and when they’re ready to hit the P&L, we’ll see that in advance of you and investors, and we’ll communicate once we’re within a reasonable enough time frame to make that commitment because we will deliver on our financial commitments to investors. And so to your question about the first quarter, we were at the high end of our range in the first quarter because we had accounted for and allowed for some degree of industry pullback from the higher hospitalizations that we all saw, particularly in the U.S. in the November, December time frame, it carried over into January, February, we had our earnings call in mid-February. So we had some visibility. So we allowed for some of that potential customer pullback. We did not experience that pullback. We, in fact, landed very much where we expected we would when we gave the guidance at the beginning of the quarter. And so we view that as a positive, but we also view it as the -- our customers may have a little bit more inventory than what they actually were planning on because of the pullback. But it gives us confidence in the year because as we look at the orders from customers and the backlog of what our customers have ordered for us during the second quarter and into the second half of the year, we’re very confident in our guidance. We raised the low end because the higher performance in the first quarter increased that confidence. We raised the high end a little bit. And if you look at our guidance, the low end of our guidance would assume that the industry does not improve meaningfully from where we are. We see that with most of our customers and their commentary around the rest of the year. Cautious optimism is the way we frame it. And so I would say the variation of being at the high end of our guidance was just the normal variation that happens in any given quarter for us. So I would not attribute it to us. I would not say we’re outperforming the industry from a growth rate. I think we’re tracking the industry. We think we’ll track the industry going forward quarter-to-quarter on a sequential basis. And as soon as we’re -- we have visibility to outperforming the industry on the top line, we will communicate that.
Matthew Mishan: All right. Excellent. And you previously communicated a potential for accelerated revenue from some early commercialization customers. Can you give us like an update on how some of those have progressed? Were they held up a little bit in their commercialization efforts due to the extension of COVID or are they generally on track here?
Joe Dziedzic: Yes. So Matt, you’re probably referring to the emerging customers that we shared in our pipeline back on the third quarter earnings call, where we shared we’ve got 5 customers that are in product introduction phase. And we expected at that time, about $20 million of revenue or $20 million of sales in the -- during 2020. We did deliver on that, and we had guided to about $40 million for those same 5 customers in 2022. We’re very much on track to meet that $40 million or even potentially exceed that. A couple of those customers were, in fact, slightly impacted by the ability to roll out their new products. But it didn’t -- it’s not -- it does not meaningfully impact the outlook that we have for 2022 because of the products and the innovation that they’re delivering for patients is in high demand. And they -- and we have confidence in their ability to finish the product introduction. And so with everybody that was impacted during the pandemic and the inability to be in hospitals with doctors, that did impact them, but it does not change our outlook for 2022 and being able to get to at least $40 million of sales from those 5 customers. I’ll just comment, we’ve got -- at the time we shared, we had 15 additional emerging customers in development, 3 in clinical, 3 and regulatory. And we continue to move very, very well with those customers in that pipeline, and we’ve added through that development pipeline as well. So we remain very excited about the emerging customers that we have and their ability to help us accelerate our revenue growth.
Matthew Mishan: And then Jason was talking about the sequential not acceleration, the sequential increases in R&D investments you guys are making maybe to support some of this growth. And I think you mentioned a bunch of -- about the hiring of engineers with the development programs. I’m just trying to understand what’s the right base to start with on R&D because it’s not just R&D, it’s an R&D minus a level of reimbursement you expect to get from your customers. And it does swing. I’m not sure whether that $13.5 million is the right starting point for sequential ramps in investment?
Joe Dziedzic: Matt, you understand the dynamic well that as we add engineers, customers are also reimbursing us for that work that we’re doing. And so if you look at the typical profile, typically, what you see are R&D programs beginning to gain a lot of traction in the second half of the year. The revenue that we collect from customers tends to accelerate as the year progresses. Oftentimes, the fourth quarter is the largest quarter. So if you look at our profile of R&D last year, for example, $13 million was the high point in the first quarter, $11 million was the low point in the fourth quarter. So we -- you can see that dynamic. We went from $11 million in the fourth quarter, up to $13.5 million in the first quarter. And what you’re seeing is you’re seeing that shifting pattern of when we get sales revenue from our customers. $13.5 million, we think is a good run rate for the rest of this year. We’re going to keep adding engineers during the year as we begin to execute on more development programs. And again, we have a robust pipeline of development programs. So we’re going to keep adding engineers, which will add costs. But as the year progresses, we’ll collect more from customers as we hit milestones. So as you’re thinking about the full year, $13.5 million is kind of a good number for a run rate for the rest of the year for 2021. That reflects our continued investment in R&D and these development programs, which is the precursor to that accelerated revenue growth.
Matthew Mishan: Yes. And then last question, it’s a cyclical question. I think your Non-Medical is a cyclical business. I think we are entering into a period of time where I think we’re not just early cycle, people are talking about, maybe we’re getting early to mid-cycle on that, and you guys are just bottoming at $7.5 million. How should we be thinking about that business here?
Joe Dziedzic: So you’re referring to our Electrochem, Non-Medical.
Matthew Mishan: Yes. The Non-Medical, yes.
Joe Dziedzic: Sure, sure. We think this is definitely the bottom. We have seen an improvement in orders and demand from customers. We don’t think that’s going to meaningfully change our outlook for the rest of the year. We -- 2020, we were about $35 million in sales. We expect this year to be about the same as that, maybe a little higher, maybe a few million higher. So if you look at the first quarter at $7.5 million, that’s a $30 million run rate. So it has to pick up a little bit to get to that $35 million to $38 million number that we’re assuming for the year. Our assumption is that the oil and gas market doesn’t really fully recover until 2022. That’s what we’re hearing from customers publicly, privately. That’s the baseline that folks seem to be operating with. And so maybe we’re being conservative by assuming not much change from 2020, $35 million, but that’s our baseline assumption. If it gets better, you’ll see it flow through into our guidance over the rest of the year. But we’re assuming very little growth on a year-over-year basis with 2022 being the year that we see the meaningful recovery.
Operator:  Your next question comes from Jim Sidoti from Sidoti & Company.
Jim Sidoti: Hopefully, things are a little more normal this call than they were in the last call in Texas.
Joe Dziedzic: Absolutely, Jim. Thank you.
Jim Sidoti: Just following up on the R&D topic. Can you give us a sense how long it takes for that expense to translate into top line revenue? I know some of these are longer-term projects. So is this something you should be looking for in maybe 24, 36 months, or could it be sooner?
Joe Dziedzic: Jim, oftentimes, the fastest is a year. When you think about the time it takes to develop the tailored component product for our customers and then get through the qualification of regulatory process. And it depends on the complexity of the work we’re doing. But it can also take multiple years. And if it’s a product that’s already in existence and so you don’t have to go through clinicals, it can be 1 to 2 years. If it’s something that needs to go through clinicals, obviously, now you’re looking at 3 to 5 years or longer if it’s a complete device. So we recognize that we need to be winning enough business that can drive our sales in both the short, medium and long term. And so as part of our product line strategies, our growth teams, the product management organizations, they are building that pipeline of targets and opportunities that will allow us to accelerate the revenue growth and then deliver the growth sustainably above the end markets we’re serving. So the answer is it depends, but we recognize we need to cover -- we need a pipeline of wins that’s going to deliver both near term, medium term, long term. So we’re focused on getting to that accelerated sales level and then staying there.
Jim Sidoti: All right. And then the follow-up for me is with regard to capacity. Let’s say you’re wrong about the industry recovery and it happens much faster than you think. I mean with the vaccines rolling out, we’ve seen some indications that things have really started to pick up. If your customers do see a fast recovery and increased demand. Are you in a position where you can meet that demand?
Joe Dziedzic: Jim, we believe we are. And to your point, we did have a reduction in headcount last year as we saw the step function change in -- step function reduction in sales, we’re down about 700 heads on a year-over-year basis. And so we are adding back now. We’re adding back the direct labor to begin that -- the preparation for the accelerated revenue growth. Obviously, as you look at the chart where we showed our quarterly progression going from the bottom of around $240 million sales to $270 million in the fourth, $290 million in the first quarter. That ramp has required us to bring people back. We’ve been doing that. We have to bring them back in advance. So the sale is actually arriving. Because there’s a training cycle. And so when you think about the recovery, there is extra cost to bringing folks back into the plant, retrain them or train them for the first time to meet that demand. And so we’re working closely with our customers to understand what that potential range of the rate of recovery could be to ensure that we’re prepared. We are confident we are. We are confident our customers are giving us the insights that we need on what that potential can be. Another variable, Jim, is the amount of inventory that our customers have as well, that acts as a buffer. You know our customers’ inventory turns at 2.0 to 3.0x. So they carry a fair amount of inventory. But what matters is the inventory they need based on the demand. So we feel we’re working closely with our customers to understand that dynamic and that we’re well prepared to serve them, which is a focal point of our strategy. So we feel we’re managing that, and we’re prepared to recover at the rate that our customers and patients need.
Operator: There are no further questions at this time. I will turn the call back over to Anthony Borowicz for closing remarks.
Anthony Borowicz: Great. Thank you for joining us on today’s call and your continued interest in Integer. The call can be replayed on our website at integer.net. Thank you for your interest today, and that concludes our call.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.